Operator: Good afternoon, and welcome to the Mission Produce Fiscal Second Quarter 2025 Conference Call. All participants will be in a listen-only mode. After today's presentation, there will be an opportunity to ask questions. Please also note today's event is being recorded. At this time, I'd like to turn the conference call over to Jeff Sonnek, Investor Relations at ICR. Sir, please go ahead.
Jeff Sonnek: Thank you, and good afternoon. Today's presentation will be hosted by Steve Barnard, Chief Executive Officer, and Bryan Giles, Chief Financial Officer. The company's President and Chief Operating Officer, John Pawlowski, is also on today's call for participation in the Q&A session. Comments during today's call and the accompanying presentation contain forward-looking statements within the meaning of the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. All statements other than statements of historical facts are considered forward-looking statements. Statements are based on management's current expectations and beliefs, as well as a number of assumptions concerning future events. Such forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from the results discussed in the forward-looking statements. Some of these risks and uncertainties are identified and discussed in the company's filings with the SEC. We'll also refer to certain non-GAAP financial measures today. Please refer to the tables included in the earnings release which can be found on our Investor Relations website investors.missionproduce.com for reconciliations of non-GAAP financial measures to their most directly comparable GAAP measures. And with that, I'd now like to turn the call over to Steve Barnard, CEO. Steve? Please go ahead.
Steve Barnard: Thank you for joining us today. We delivered record second quarter revenue of $380.3 million, an increase of 28% versus the prior year period, and generated stronger than expected adjusted EBITDA, demonstrating the continued execution of our global commercial strategy to expand market access in the categories that we serve. Our marketing and distribution segment delivered solid results in Q2, building on the strong foundation established in Q1, reflecting the effectiveness of our commercial teams to leverage the strategic value of our global sourcing network. We continued to successfully navigate typical seasonal dynamics while maintaining strong customer relationships and service levels. Our deep grower relationships in Mexico, along with our global sourcing network, allowed us to be nimble, providing the flexibility to leverage other countries of origin as market conditions warranted. This is truly a core competency here at Mission Produce, what we do every day and represent more than forty years of building the right capabilities in the right markets. The pricing environment remained favorable throughout the quarter, in fact, more so than we anticipated. The retail market's ability to sustain volumes amid extended periods of higher pricing reflects a favorable dynamic that reinforces the durability of consumer demand in the United States. This is the outcome of our relentless work to provide consistency, both in terms of supply size and quality to the retail channel, which is supported by our unmatched network of sourcing, distribution, and ripening infrastructure. As we look forward to the future, we are applying the same playbook to the other markets to enhance our competitive position globally. For instance, we opened a forward distribution center in the UK two years ago with the vision of accelerating our reach in the broader European market by bringing ripening capabilities to the underserved region. Our commercial teams have been working hard to ramp up our presence and have delivered strong results through expanded customer penetration with larger accounts. This customer success is directly translating into higher volumes and significant gains in facility utilization, validating our strategic investment in the region. Our team's ability to adapt to local merchandising approaches and respond quickly with solutions is central to our increasing share while establishing Mission Produce as a reliable partner for major UK customers. We look forward to building on our success there in the quarters ahead. Our mango business is another example of the team's strong execution. Mangoes contributed strongly to our results this quarter, where we achieved record volumes and significant market share gains that established Mission Produce as a leading U.S. distributor. This success stems from three deliberate competitive advantages we've built: First, our cross-selling approach of leveraging new and existing customer relationships to build our mango business; Second, our differentiated positioning as a long-term program provider with year-round sourcing and quality consistency that others simply cannot match; And third is our national ripening and packing footprint that provides operational capabilities and flexibility others in the space don't possess. Importantly, what we're seeing in mangoes mirrors the early success we achieved with avocados, bringing greater consistency and quality to consumers in an underserved market, which drives increased consumption over time and ultimately provides our retailer customers with new growth vectors for their businesses. Our early success in mangoes, combined with increased blueberry volumes and efficiency improvements we actioned last year, directly benefited our International Farming segment, which, although small this time of year, delivered a significant EBITDA improvement, turning what has historically been a period of seasonal headwind into a positive contributor. Our diversification strategy is delivering exactly what we designed it to do: optimize facility utilization year-round while positioning us for an even stronger performance when our core company-owned avocado harvest season in South America ramps up in the second half. Our blueberry segment continued to contribute to our results. The over 100 hectares of new plantings that came online early last year grew our total footprint to over 550 hectares. This additional volume supported our Q2 performance and positions us well in a category that continues to see growing consumer demand similar to avocados and mangoes. We continue to see tremendous long-term potential in blueberries as consumer preferences shift toward healthy, convenient snacking options. We're strategically positioning ourselves to capitalize on this trend through a multiyear expansion of acreage that is expected to add more than 200 hectares for the year's season of premium varietals that deliver superior flavor profiles and extended shelf life. While the yields will take some time to ramp up, the higher volumes will help us support growth in the years ahead. Looking ahead to the second half, we are well-positioned to generate our customary step-up in cash flow, but with the added benefit of what we expect to be a more normal Peruvian crop on our ranches this year. If you recall, last year's harvest was significantly impacted by weather events, which decreased volumes by approximately 60%. Our orchards have recovered and are in great shape. As a result, we expect our production to be up approximately 50% this season, putting us in a position to meet consistent global consumption. Given our strong performance last year and a solid first half of fiscal 2025, we are continuing to improve our balance sheet leverage, which provided us with an opportunity to execute $5.2 million of share repurchases during the second quarter, reflecting our belief that the share price is undervalued relative to our business strength. With approximately $14 million remaining on our board authorization, we will continue to opportunistically repurchase shares when we believe there is a discount to the intrinsic value of Mission Produce shares in the market. In closing, our Q2 results demonstrate the value of our diversified global platform and the successful execution of our long-term vision. We built the capabilities to consistently deliver results across varying market conditions, and this quarter's performance validates that strategic approach. With that, I'll pass the call over to our CFO, Bryan Giles, for his financial review.
Bryan Giles: Thank you, Steve, and good afternoon to everyone on the call. Total revenue for the second quarter of fiscal 2025 increased 28% to $380.3 million, largely due to a 26% increase in per unit avocado selling prices that was driven by continued strength in consumer demand. Gross profit was $28.4 million in the second quarter compared to $31 million in the prior year period, primarily due to lower avocado per unit margins, which were a result of challenges in obtaining necessary Mexican fruit supply in the early part of the quarter to meet our customer commitments. Per unit margin trended favorably as we transitioned through the quarter, driven largely by availability of fruit from competing origins such as California and Peru. In addition, we incurred $2.6 million of cost of sales that we consider to be unique and worth mentioning as you compare results to the prior year period. We sustained $1.5 million of costs associated with the closure of our Canadian distribution facilities and $1.1 million in tariffs levied on USMCA compliant goods imported from Mexico for the three days they were in effect during March 2025. Net of these costs, avocado per unit margins tracked in line with historical averages. Separate from these items, we experienced improved gross profit in our International Farming segment during the quarter, where we benefited from increases in both yield and pricing from our owned mango orchards as well as higher packing and cooling service activity correlated with higher blueberry production volumes. While gross profit margin decreased 290 basis points to 7.5% of revenue, we want to note that gross profit percentage fluctuates based upon per unit sales price levels in relation to per unit cost, as profitability is primarily managed on a per unit basis. Significant increases in per unit avocado pricing during the quarter had a negative impact on gross profit percentage. SG&A expense increased $2.8 million or 15% compared to the same period last year, primarily due to higher employee-related costs inclusive of performance-based stock compensation expense, as well as higher professional fees inclusive of fees for external legal counsel associated with outstanding legal proceedings. Adjusted net income for the quarter was $8.7 million or $0.12 per diluted share, compared to $9.8 million or $0.14 per diluted share last year. Adjusted EBITDA was $19.1 million compared to $20.2 million last year, driven primarily by lower per unit gross margins on avocados sold. Turning now to the segments. Our marketing distribution segment net sales increased 26% to $362.5 million for the quarter, primarily due to the favorable avocado pricing dynamics I previously described. Segment adjusted EBITDA was $16.8 million compared to $21.7 million in the same period last year, as a result of lower gross profit driven primarily by lower per unit gross margins on fruits sold, which was largely in line with our expectations. Total segment sales in our international farming segment increased $6.7 million to $8.1 million, and segment adjusted EBITDA increased $3.7 million to a positive $1.5 million compared to the same period last year. The significant year-over-year improvement was primarily due to higher yield and price from owned mango orchards, as well as higher volume of blueberry packing and cooling services. As Steve discussed in his remarks, we are pleased to see a sustained improvement in operating leverage during what has traditionally been a more challenging quarter for the segment. Net sales in the Blueberry segment increased 57% to $15.7 million compared to $10 million in the prior year period, driven by higher volumes of fruit from our own farms via increased acreage and higher yields. Segment adjusted EBITDA was flat compared to the prior year period, as lower per unit gross margins offset the volume growth we experienced in the quarter. Shifting to our financial position, cash and cash equivalents were $36.7 million as of April 30, 2025. Cash used in operating activities was $13 million for the year-to-date period ended April 30, 2025, compared to cash provided by operating activities of $12.9 million for the same period last year. This shift was driven by working capital growth from two primary factors: First, higher accounts receivable balances correlated with the higher avocado pricing environment that is negating the impact of lower day sales outstanding metrics, and second, increased acreage and normal seasonal inventory build in our International Farming segment as we prepare for the second half harvest season. As we've discussed previously, our working capital typically peaks during the first half of our fiscal year as we build growing crops inventory for harvest and sale in the second half, while also managing varying payment terms across different source regions. The sustained higher price environment this year amplified these normal seasonal dynamics, but we continue to expect a meaningful step-up in cash generation in the second half as this reverses. Capital expenditures were $28 million for the fiscal year-to-date period, which were primarily attributed to avocado and blueberry farming-related investments in Latin America and construction costs for our new packhouse in Guatemala. Our full-year fiscal 2025 CapEx guidance remains in the range of $50 million to $55 million, which includes approximately $10 million of projects that rolled over from fiscal 2024. Our trajectory of moderating capital spending remains on track as we complete these investments through fiscal 2026, positioning us to generate meaningful free cash flow in future periods. Although debt reduction continues as our near-term priority, we remain nimble in our capital allocation strategy, as evidenced by over $5 million in opportunistic share repurchases this quarter when market conditions presented compelling value. In regards to our near-term on the fundamental drivers of our operations, we are providing some context around our expectations for industry conditions. These projections take into consideration the current tariff environment with the countries from which fruit is imported to the United States, but we note that ongoing tariff negotiations are fluid. As such, please consider this as a base case scenario to help inform your modeling assumptions. Industry volumes are expected to be approximately 10% to 15% higher in the fiscal 2025 third quarter versus the prior year period, primarily due to a strong Peruvian harvest outlook. Exportable avocado production from Mission's own farms in Peru is expected to range between 100 million to 110 million pounds, as compared to 43 million pounds in the 2024 harvest season that was negatively impacted by weather-related events. We anticipate that sales of our own production will be weighted to our fiscal fourth quarter. Pricing is expected to be lower on a year-over-year basis by approximately 10% to 15%, as compared to the $1.84 per pound average we experienced in the third quarter of fiscal 2024. The decrease in pricing is directly correlated with expectations of higher volumes available in U.S. and international markets. That concludes our prepared remarks. Operator, now over to you. Please open the call to Q&A.
Operator: Thank you. We'll now be conducting a question and answer session. One moment, please, while we poll for questions. Our first question is from Ben Klieve with Lake Street Capital Markets.
Ben Klieve: Alright. Thanks for taking my questions. Congratulations on a nice quarter here and the encouraging setup for the second half. First question is around that second half outlook, particularly the International Farming segment. It's good to see you guys continue to be pretty confident in the outlook out of the Peruvian operations from a volume perspective. I'm wondering if you can elaborate a bit on, at this point, how you view fruit quality and sizing at this point, or if it's too soon to truly be able to tell.
Steve Barnard: I think fruit quality is gonna be good, Ben, from what we see and hear so far. I can answer this a lot better a week from now because I'll be down there Tuesday. But sizing has been good. There's a couple blocks we've got. I think there might be a little on the large size, but I don't think that's gonna represent a very big percentage of the business. But so far, the quality has been excellent, and as you could hear, the production is exceeding expectations. So we expect a good year spreading it out around the world so it doesn't get bunched up in any one continent. And so far, so good.
John Pawlowski: Ben, this is John. I would add just two quick comments to kind of take it a little further than Steve. Number one, the quality continues to get better and better out of Peru as those trees continue to mature. And from a relationship perspective with our customers and our consumers, the Peruvian fruit is becoming much more normalized in the U.S. from a consumption standpoint. So both quality and the expectations of that fruit are starting to match a lot better, which is fantastic. The second thing to your sizing question, one of the most important things for us is to make sure that as sizing comes through, our teams are understanding from a forecasting perspective what we're receiving so it can be planned and programmed the right way. I think this year we're in a really good position where we've kept in touch very, very consistently with our Peruvian teams, and any small tweaks in sizes like Steve just mentioned, we've already taken into account for in regards to how we program that. So we feel really good about both the quality that's coming in as well as the size expectations that our teams are moving through.
Ben Klieve: Okay. That's a really helpful follow-up. Thank you. And I guess a follow-up to the sizing question around second quarter performance. In the first quarter call, kind of challenges of securing fruit out of Mexico led to you having a little bit more volume coming through co-packers than you traditionally have had. Can you talk about the relative level of co-packer volume embedded within the second quarter? And then also kind of how that evolved throughout the quarter and if you're at kind of normalized levels at this point or if it remains elevated?
John Pawlowski: Yeah. That challenge was one that we addressed head-on by taking a couple of steps. The first one was we made sure that we were reaching out to and leveraging our other source markets to the best of our ability, especially as those markets came in. Peru came in early season Peruvian fruit that doesn't come off of our ranches, but we're able to secure through a as well as California Fruit typically comes in during our second quarter. And those two things along with a couple of other relationships in Mexico helped us to get to more normalized levels. So short answer, yes, we were able to moderate and get to what we consider more normalized levels. And then as we think about that moving forward, we feel like we're in a really good position with both our capacity in Mexico as well as our ability to leverage those resources and other sources to stay close to normal moving forward.
Bryan Giles: And we're planning ahead for next year assuming that second shift isn't brought back. We're trying to mitigate that crimp that is put on us so far.
Steve Barnard: What Steve's referencing is we're putting in some additional capacity into some of our own packhouses in Mexico, actually leveraging some equipment from within our network. And moving things around. So we're not spending a lot of money on it, but we're adding about 25 to 50 loads to what we're able to do on a weekly basis, which will allow us to if that situation compresses us in the future, be able to manage it within our own network moving forward.
Bryan Giles: And Ben, I would just add that as we move through the quarter, I think we still saw some of these conditions in play during the month of February. It was really probably around the middle early to mid-March that we started to see improvement where California really started to harvest meaningful volumes. And yeah, that's as soon as we get those other sources up and running, the leverage of the Mexico supplier decreases dramatically. So we're able to balance things out much better. We're able to focus on only buying fruit that we can run through our own facilities. We can balance size curves across different countries of origin in order to avoid having to buy as much specifically sized fruit from individual co-packers. And the margin kind of trended along with that during the quarter that it was tighter in the early part and definitely ended kind of at a peak as we closed out the month of April.
Ben Klieve: Right. Great. That's very helpful, and glad to hear conditions improve throughout the period. On the international markets, I but that the, you know, seventy-two-hour tariff dynamic that you called out. I'm wondering on a kind of higher level, if you can elaborate on kind of changes in behavior that you observed throughout the period, either from your suppliers or from your customers in the context of all this tariff uncertainty? Did everybody kind of operate as usual or was there any kind of any behavior from either side of the supply chain that you think is relevant to call out?
John Pawlowski: Got it, Ben. I wish I could tell you everything was normal. Nothing is normal. But the reality is particularly back in January and February and March as we were going through a lot of the initial announcements and it felt like there was a lot more uncertainty at that point in time. You had moments in time where people were holding fruit back, not letting it cross, waiting for decisions to occur. Sometimes doing things for twenty-four to forty-eight hours, which didn't put any quality at risk, but was definitely lodging up trucks at borders and things like that. But by the time we got to the April timeframe, especially when the rest of the international tariffs went into place, I think most suppliers had become more comfortable with this was more than likely going to be business as usual and regardless of what occurred they would be able to handle it especially at that 10% level. So when the tariffs went into place on April 9, fruit was on the water, no disruptions at any ports or any changes. And really, it's been I hate to knock on wood, it's been smooth sailing since then. There hasn't been a lot of disruption even with some of the rhetoric in the marketplace about things being negotiated on the left side or the right side or in the Southern Hemisphere or the Northern Hemisphere. But really it was that January, February, March time period where people were just acting a little skittish. But our relationships allowed us to get product when we needed to and how we needed.
Bryan Giles: And I'll add one on to that. I think when we looked at some of our certainly Mexico is a big concern as John alluded to with the tariff rates as high as they were in price points peaking in March. The impact was very significant during that window. So when that subsided, I think that the industry as a whole was fairly relieved in terms of making sure that we're going to have adequate supply into the market. Columbia, Peru, some of the other import countries of origin as we move through the second quarter still made up a fairly small percentage of the amount of fruit that's consumed in the U.S. That percentage is going to increase as we move into Q3 and Q4. But overall, volume is going to increase as well, which is going to help keep price or moderate price, bring it down a little bit. From these high levels that it was running at. So my feeling is to the consumer, the impact of having greater supply available in the market, the, you know, the impact that will have on pricing will likely offset any impact that comes through in the form of higher tariffs.
Ben Klieve: Got it. Got it. That's helpful. And I'm sure it was a dizzying period, but it's good to hear that things have somewhat stabilized. One more for me, then I'll get back in queue, is around the Mango business. This thing has really just been on a tear for some time, and I'm curious two things. One, you talked about market share gains. Can you educate us on what your market share is, at this point? And then, you know, on a TTM basis, the mango represents about $70 million of revenue. I'm curious how big this crop can get within your current infrastructure before you would need to invest in some kind of expansion initiative?
Steve Barnard: Well, let's start with the mango itself. It's the number one consumed fruit in the world, not necessarily here in the U.S., but it's growing as you can see. We are already the second largest mango distributor in the United States. We've had number one turned around looking at us, wondering which way we're gonna go. But it's a great compliment to our avocado business. It utilizes all the facilities, including ripe rooms, trucks, and customers. And it's exceeding expectations, and I think it'll continue to go forward. Just as a large picture of what's going on.
John Pawlowski: I would add to that. Just to answer your question around the market share piece that about twelve months ago, we were approximately somewhere below 5% market share and this year as we sit here today, we're closer to that next 5% threshold of the 10%. So we're very happy with that. We're very happy with the relationships we have with our customers, all the things Steve mentioned as we were going through the prepared remarks are true in regards to our ability to program out year-long. Now our farms themselves add a significant advantage to us in regards to our ability to have that fruit during that time of year. Number one, the quality is outstanding. Number two, we can really lock in good programmatic pricing for our customers and we can do it all around the country. Because we're pulling in fruit to multiple ports and through multiple DCs. It's not just a regional play for us. We're able to help our customers regardless of where they are regardless of how big their footprint is. As we think about the future, there's still a lot of room in the output of those that ranch in Peru. Those trees are really just starting to mature. So there's room for them to grow. I think there's probably three to four years of productivity increases that will help us continue to push more volume through our network and hit that next 5% threshold as we think about market share. The other piece is we're continuing to build relationships all over the world. It's not just the Peruvian fruit that's going to make that difference for us. It's building more grower relationships in Mexico and Brazil and Ecuador and other places like that that we've already started to generate great returns from in regards to availability of fruit. And only put more effort into that moving forward.
Ben Klieve: Very good. Well, it's impressive work over the past couple of years, and look forward to watching that continue here going forward. Congratulations again. Nice quarter. Thanks for taking my questions, and I'll get back in queue.
Bryan Giles: Thank you, Ben.
Steve Barnard: Okay. Thanks, Ben.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to management for any closing remarks.
Steve Barnard: Thanks for your interest in Mission Produce, and we look forward to speaking to you again next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. We thank you for attending. You may now disconnect your lines.